Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to Tokyo Lifestyle's First-Six Months of Fiscal Year 2025 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. This conference is being recorded today, Wednesday, December 18, 2024. If you have any objections, you may disconnect at this time. Joining us today from Tokyo Lifestyle is the company's representative, Sissi Huang. Before we begin -- before we continue, I would like to remind you that some information discussed on this call will contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended, and as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks and uncertainties. The company undertakes no obligation to update forward-looking statements to reflect subsequent occurring events or circumstances or changes in its expectations, except as may be required by law. Although, the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that such expectations will turn out to be correct, and the company cautions investors that actual results may differ materially from the anticipated results and encourages investors to review other factors that may affect its future results in the company's registration statement and in its other filings with the SEC. With that, I will now turn the call over to Sissi Huang, the company's representative. Please go ahead.
Sissi Huang: Thank you, operator, and everyone for joining Tokyo Lifestyle's first-six months of fiscal year 2025 earnings conference call today. On our call today, I will give an overall of our performance of the first-six months of fiscal year 2025, followed by a detailed financial review of the company's results. In the first-six months of fiscal year 2025, we are pleased to report significant success in our business transformation and expansion in key markets, like, Hong Kong, South Asia, Europe and North America. Our total revenue saw a significant growth of 22.1% to $98 million for the six months ended September 30, 2024. As a result of the robust performance of our extensive customer base, particularly the expanding franchise network and dedicated wholesale customer base. As of September 30, 2024, we have adjusted our business strategies to optimize resource allocation, enhance operational efficiency and drive profitability. In response to market trends and increased competitive in Japan and Hong Kong, we have continued to transition underperforming directly operated physical store into franchise stores, close underperforming online stores and refine our product offering. Meanwhile, our global market expansion has progressively -- that's basically notably renewing from our five directly operated store in the United States and Canada has partially offset (ph) and revenue decline in Japan and Hong Kong. On the other hand, our franchise and wholesale business line have demonstrated significant growth with the revenue increasing by 53.8% accounting for 88.7% of our total revenue during this period. We believe that our continued focus on exploring new opportunities, while strengthening loyalty among existing customers through high-quality products and services has contributed to a steadily expanding customer base and strong financial performance. Our growth strategy and operational (ph) achievements have been recognized by both the market and industry. Notably, we are honored to have received a Gold Stevie Award in a Company of the Year Retail Medium Size category at 21st Annual International Business Award in September 2024. Behind the milestone achievement lies – lies yet ablation's (ph) growth strategy and the solid financial performance, we are grateful that our efforts and innovation over the years had garnered recognition both domestically and internationally. Looking ahead, we remain committed to driving sustainable growth and exploring new opportunities, while strengthening loyalty among our existing customers. In Asian markets, we are strengthening collaboration with existing franchises and actively seeking new partnership to drive further development. We have supported our partners in opening new franchise stores and establish strategic cooperation aimed at building a robust franchise distribution network. We believe these efforts will enhance our profitability and brand recognition alongside continued expansion. At the same time, we are actively exploring opportunities in global markets and new business sectors. Recently, we opened a new Reiwatakiya Store at Fashion Show Mall in Las Vegas, launched online platform for the Reiwatakiya brand in the U.K. and Canada, and formed a joint venture to develop the trending car (ph) retail business. This strategy initiative reflects our efforts to further strengthen our global business presence and in-house brand recognition worldwide. We remain focused on strategic priorities, strengthening our current market footprint, closely monitoring market trends and customer preferences; improving operational efficiency and profitability; optimizing our distribution network and commercial outlets; and exploring new partnership opportunities. We are confident that these efforts will contribute to a bright future and deliver greater value for our company and shareholders. Now I'd like to share our financial result highlights for the first-six months of fiscal year 2025. Our total revenue is increased by 32.1% from $74.2 million to $98 million for the six months ended September 30, 2024. During the period, our directly operated store and online sales channels contributed $11 million in revenue, despite challenging market conditions. Notably, revenue from franchised stores and wholesale customers grew by 53.8% to $86.9 million. Meanwhile, the member of wholesale customers and franchises increased by 30, from 171 as of March 31, 2024 to 201 as of September 30, 2024. This growth results from our continuous efforts to expand product offering with the total stock-keeping units rising from approximately 141,500 to 165,200 during the period. In addition, the increase was also due to the increased revenue generated from franchised stores, which previously was recognized on their physical stores as mentioned above. As well as the increased revenue from the new wholesale customers because we continue to develop our customer base by entering into business relationship with new wholesale customers during the six months ended September 30, 2024. Thanks to our robust and flexible strategies, income from operations significantly by 867.8% to $3.2 million during the six months ended September 30, 2024. Gross profit was $12.1 million for the six months ended September 30, 2024 increased by 28.4% from $9.5 million for the same period of last year. Operating expenses down by 2.2% to $8.9 million reflecting our cost control measures even as we increased the headcount to support rapid expansion. Net income decreased by 31.6% to $1.3 million, mainly due to increased loss from foreign currency exchange as well as change in fair value of warrant liabilities. Basic and diluted earnings per share was $0.03 compared to $0.05 for the same period of last year. As of September 30, 2024, the company had cash of $3.1 million and $104.3 million accounts receivable balance due from third-parties. Approximately 28.3% of balance has been subsequently collected. The collection of such receivable made cash available for use in our operational as working capital if necessary. As of September 30, 2024, the company's merchandise inventories balance amounted to approximately $7.4 million, which the company believes can be sold quickly based on the analysis of the current trend in demand for our products. For the six months ended September 30, 2024, net cash used in operating activities was $2 million; net cash used in investing activities was $0.6 million; net cash provided by financing activities was $2.5 million. Looking ahead, we remain committed to enhancing financial performance through robust business strategies, disciplined cost management and strategic investments. We will remain focused on identifying new revenue streams and are confident that these efforts will drive sustainable long-term values for our shareholders. Thank you so much for joining this conference call today. If you have any questions, please contact us through e-mails at ir@ystbek.co.jp or reach our IR counsel, Ascent Investor Relations at investors@ascent-ir.com. Management will respond to your questions as soon as possible. We appreciate your interest and support in Tokyo Lifestyle and look forward to speaking with you again next time. Thank you.
Operator: Thank you again for attending Tokyo Lifestyle's first-six months of fiscal year 2025 earnings conference call. This concludes our call today and we thank you all for listening in. Good-bye and have a wonderful day.
End of Q&A: